Operator: Good morning, everyone, and welcome to the Docebo, Inc. Fourth Quarter and Year End 2021 Earnings Call. All participants are currently in a listen-only mode. Following the presentation, we will open the line for a question-and-answer session for analysts. Instructions will be provided at that time for research analysts to ask questions. We ask that analysts please limit themselves to two questions and return to the queue for any follow ups. I'd now like to turn the call over to Docebo's Vice President of Investor Relations, Mike McCarthy. Please go ahead, Mike.
Mike McCarthy: Thank you, operator. Before we begin, Docebo would like to remind listeners that certain information discussed today maybe forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in the forward-looking statements. For more information on the risks, uncertainties and assumptions relating to forward-looking statements, please refer to Docebo's public filings, which are available on SEDAR and EDGAR. During the call, we will reference certain non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including reconciliations to the nearest IFRS measures. Please note that unless otherwise stated, all references to any financial figures are in U.S. dollars. Now I'd like to turn over the call to Docebo's CEO, Claudio Erba.
Claudio Erba: Good morning and thank you for joining us on our 2021 year-end earnings call. With me today is Alessio Artuffo, our President and CRO, as well as Sukaran Mehta. I'm happy to share that Sukaran, who has been an incredibly valuable leader at Docebo, since prior to our TSX IPO in 2019, has been promoted to CFO from Interim CFO. Congratulations Sukaran. Before I begin my prepared remarks this morning, I wanted to first take a few moments to express our concern and support for the people of Ukraine. While our business presence in the Ukraine and Russia is extremely small, as a global company with a European heritage and roots, many Doceboians including me have deep ties to the people of the region. We have made a corporate donation and we are making employees donation to the International Committee for the Red Cross which is helping people affected by the conflict and we are supporting the work of the Ukrainian Red Cross. We will continue to support them where we are able. While we find ourselves in bad, volatile times, we have been standing for purpose of continuing to deliver consistent operating results, and I think we successfully accomplished this in 2021. Revenues for the full year grew 66%, a significant improvement from the also strong 52% growth in revenue we generated in 2020. Big reason for our success has been the resultant nature of our platform which is industry and content agnostic. We are winning in lockdowns that is both employee and customer softness and second stage for our land and expand strategy. We have record new logo performance which included 169 net new customers, and this same momentum we saw from enterprise customer in the third quarter continued during the quarters. At the same time, our traditional sweet spot of midsized enterprises and departmental wins continued to be steady growth engine for us, accounting for more than half of our new logo business, focused on setting the state for our land and expand strategy. In Q4 we signed a new customer agreement with a global medical device company, Align Technology. Align chose Docebo to provide external training for their orthodontic firm and those will create customized learning experience for their internal teams. Dine Brands Global, the company behind IHOP and Applebees franchise selected Docebo to train their team members across their restaurant chain. In the fourth quarter we signed a new customer agreement with the NCAA to deliver solution to scale its learning and development programs for up to 40,000 athletes, coaches and school administrators. Large implementation like these proved the scalability of our platform at the enterprise level allowing us to service some of the leading organizations in the sport world. In addition, through the strong new logo performance, we have seen great success in our land and expand strategy. By levering our content offering including the Docebo Shape, we expanded our relationship with BMW to train all departments at their manufacturing facility in Greensville, North Carolina. We are pleased to have expanded our agreement with United Nations Global Compact, the world's largest corporate sustainability initiative. These expanded agreements will drive the training for more than 30,000 of its members. We have also signed new customer agreement with SolarEdge, a global leader in smart energy technology and developer of an intelligent worker solution that changes the way solar power is harvested and managed. They will be using Docebo for both employees and customer training. In January, we signed a strategic partner with Pavilion, the world's leading private membership community for high growth professionals. As part of our partnership, Docebo will provide to Pavilion its full Docebo suite of products to create, deliver, analyze and measure the impact for its 7000 members. In 2021, we introduced new products and modules as part of the Docebo Learning Suite, many of which were launched in the second half of the year. Some of those new products have exceeded expectations out of the gate, and with others we are adjusting the formula. Those are the types of learning we expected and we are pleased to see new products now starting to contribute nicely to our ACV growth. Our product innovation has also received great recognition this year from a number of independent third parties. We were ranking first, in the category of Enterprise Corporate LMS and leader Europe LMS and the G2 Crowd Winter Report, which is based on review from our core customers. We won nine Brandon Hall Group Excellence in Technology Award, including awards for the Learning Suite, Learn LMS, Shape, Learning Analytics and Learning Impact, with six of the awards being gold. With the addition of Rudy Valdez as our COO last fall, we continue to stand our team in a way that more closely align our core product development and research and development. In January, we announced the addition of a new Chief Product Officer, who had a change in personal circumstances and will not be joining us. Leadership of our product development will continue to be the joint responsibility of Rudy and our CTO and co-founder Fabio Pirovano and we will continue to invest in top talent to remain at the forefront of learning innovation. The general turnover in the labor market has presented us with challenges and as well as opportunities. As we have been able to add seasoned sales and marketing professional that we will have elevated the next leg of our growth. North America was more than 70% of our sales in 2021 and grew more than 70% year-over-year. It is our largest market and continued to be our greatest source of growth. But we also see expansion opportunities for Docebo around the world that we intend to capture. In 2021 we established a new office in Germany which is showing early traction. We believe Germany in particular can become one of our largest markets outside of the U.S. In January, we had also acquired Skillslive in Australia and Docebo value-added [indiscernible] since 2018. That accelerates our time to market by immediately adding specialized talent entering the infrastructure to address the APAC region. Lastly, I have talked about the importance of ESG on past conference calls. We hope to have our first ESG report published by the time we speak to you on our next earnings call. That report will share some of the work we do to empower our people, maintain integrity for our stakeholders, manage our environmental footprint and contribute to the community. Docebo has an opportunity to make the greatest impact as a corporate citizen to innovate and provide learning technology that helps other organizations achieve some of their own ESG objectives. This is work we already do for many of our customers, and we will provide additional color over time. With that, I will now pass the call to Sukaran to speak about the financials.
Sukaran Mehta: Thank you, Claudio, and good morning, everyone. For those interested, a detailed breakdown of our financial results for the three months and fiscal year ended December 31, 2021 can be found in our press release, MD&A, financial statements, which are now available on our website and are also filed on SEDAR and EDGAR. The slide deck accompanying this earnings call was made available on our Investor Relations website this morning. We were very pleased with our strong results for the fourth quarter and the fiscal year 2021. This performance sets us up for another year of strong growth with a natural transition to positive adjusted EBITDA as we exit 2022. Total revenue for the fourth quarter grew to $29.8 million, an increase of 59% from the prior year. Subscription revenues were $27.5 million, representing 92% of total revenue for the quarter, and equating to growth of 64% from the prior year. Net new ARR was $14.2 million in the fourth quarter, and is approximately 40% higher than the net ARR we added in the third quarter of 2021, continuing the robust trend of quarterly net new ARR additions, as shown in Slide 4. We exited 2021 with $117.7 million in ARR, an increase of 59% over the $74 million reported at the end of 2020. With over 2800 customers at the end of fourth quarter of 2021 our company-wide average contract value or ACV increased approximately 42,000 up 24% from 34,000 at the end of the fourth quarter of 2020. As Claudio noted, we continue to see traction from enterprise customers as Docebo is being selected for more complex, multiple use case deployments. This is reflected in the ACV for new logos and cross sells added in the fourth quarter, which was close to 60,000. In addition, approximately 45% of the ARR generated from new and cross sell logos this quarter came from deals valued at over $100,000 with no single transactions being recorded in excess of $1 million dollars. This growth in ACV from new logos tells only the beginning of the story with our customers because it captures the size of the relationship we have at the onset. As Alessio will tell you, once we establish a relationship with a great new logo, we are very well positioned to expand ACV by demonstrating the value over time. The metric that best highlights ACV expansion after we land a customer, is the net dollar retention rate. In 2021 we recorded a net dollar retention rate of 113%, an increase from 108% in 2020. The investments we've made in our talent executives and customer success teams are bearing fruit as our NDRR continues to expand, but I would like to make two additional points on the NDRR. First, we have continued to add more enterprise customers to our base and these accounts naturally have more divisions and opportunities for upsells and cross sells. Second, our upsell cross sell motion has been historically driven by expansion of the use cases for Docebo Learn LMS. And now with the launch of the Learning Suite, there are other avenues for expansion. Growth profit margin for the fourth quarter was 80% of revenue, which compares to 79% for the third quarter and 84% for the prior year period. As we have said in previous quarters, we made investments this year in our customer success and professional services team to facilitate the rollout of our multiproduct strategy and to further enhance customer support. We are starting to see leverage on these investments, resulting in sequential improvements from the third quarter, and we expect to maintain low 80% gross margin profit levels over time. On Slide 6, you can see a summary of our operating expense lines. Total operating expenses for the fourth quarter increased to $26.7 million compared to $20.2 million for the prior year period. G&A has continued to decline as a percentage of revenue to 24.4% for the fourth quarter compared to 25.2% for the third quarter, as we continue to realize efficiencies from increased scale. Sales and marketing expense increased as a percentage of revenue to 42.4% from 41.2% for the third quarter. The sequential increase was in part, the results of seasonal investments in marketing activities during the fourth quarter that included our annual Docebo inspired conference. R&D expenditure was $5.5 million, or 18.5% of revenue compared to 20.2% in third quarter. In the fourth quarter of 2021 we also recognize a one-time year end benefit from R&D tax credits of approximately $800,000. We reported an adjusted EBITDA loss of $1.5 million for the fourth quarter of 2021 compared to income of $0.1 million in the prior year period. We reported a net profit of $1.4 million for the fourth quarter of 2021, compared to $4.1 million net loss for the prior year period. Finally, free cash flow was essentially neutral in the fourth quarter, and we continue to have a very healthy balance sheet, and net cash and cash equivalents of $215 million. Looking forward into 2022, we continue to focus on growing the business as fast as we responsibly can. And we're continuing to recruit the high performance talent we need to support our growth targets. However, like every other technology company, we find ourselves in a competitive market and are experiencing the same pressures from wage inflation. Notwithstanding this, we expect to reach a point where the growth in our revenue will naturally transition us into positive adjusted EBITDA and free cash flow as we exit 2022. As you would expect in a maturing company, we will continue to see operating leverage in G&A improve. In terms of R&D, we expect our expenditure to remain within the 18% to 20% of revenue. Sales and Marketing is an area that we will continue to invest as long as our unit economics remain attractive. Near term, we will likely run in the low 40% range. At these levels our CAC ratios continues to be best in class, with $1 invested in sales and marketing generating $1 in ARR. For the full year 2021, we invested $43.3 million in sales and marketing and added $43.7 million in ARR with nearly 80% of our new logo and cross sell contracts being multiyear deals. That concludes my prepared remarks. I'd like to turn it over to the operator now to take some questions from the analysts.
Operator: Thank you, sir. [Operator Instructions] The first question comes from Robert Young with Canaccord Genuity. Please go ahead.
Robert Young: Hi, good morning. My first question will be around the sustainability of this strong incremental ARR add in the quarter. You said that there were no transactions over $1 million. So I guess that's implying that there's no materially large deals, but I'm curious if larger deals were a big driver behind the incremental ARR, is it sustainable? Did that come near the end of the quarter? That's the question.
Alessio Artuffo: Hello, Robert. Alessio speaking here. The mixer of deals in quarter four was according to plan. What we're seeing Robert, is the continued success in our strategy of adding a healthy mix across our three main commercial segments, those being commercial, or small business, mid market and enterprise. It is no secret that we are seeing an up trending success in the enterprise segment. But our strategy has never been to try and do the necessarily the very, very large deals upfront, because as stated multiple times, our goal is to win the customer and grow it over time with our new products. On a point of ACV mix, for the past consecutive quarters, four consecutive quarters, so for the entire fiscal year 2021 our deals exceeding $50,000 in ACV remain well above 50% of our ARR in terms of units. That to me is a metric that shows an incredible consistency in execution, and an alignment of the entire go to market machine towards the average customer size that we really like, which is that 50k to 100k average ACV. Still we're investing heavily in enterprise and we're seeing tremendous market fit. And you should expect in the future the deals above 100k in ACV continue to become a recurring event and those will continue to grow over time, thanks to multi use case and multi products.
Sukaran Mehta: Yes, Rob and Rob, I'll just speak to Alessio's point just around that, if you, you know, the number we talked about is almost half of the ARR coming in the quarter is from these of 100k in ACV. So we're moving nicely up the enterprise market. Yes and what we also like is the consistency, right? Because there are no seven figure deals, but there's a lot of deals that are above 100k that are adding almost 50% of what we have in the quarter. And so for me, and as we think about consistency, this continues to show traction as we penetrate the enterprise segment of the market.
Robert Young: Okay, great. So nothing, nothing out of the ordinary for the quarter, just strong demand. And then my second question would be around the sales efficiency that you were talking about, you said it was $1 for $1 of ARR, but that was lower this quarter, despite I think you said that there was a seasonally higher level of sales and marketing spend and so I get around $0.90 for each incremental dollar of ARR. And so is that why you're trending towards positive free cash flow in 2022? Is there actually a little bit of a lower level of investment in sales and marketing or should we expect that to bump up through the year a little bit?
Sukaran Mehta: I'll speak to it first and then Alessio you could jump in. You are right. So if you look at just Q4 in isolation, the CAC ratios are slightly more efficient, but on overall for the full year the CAC ratios is in around $1 spend to generate $1 ARR. You've got to take into account as you think about CAC ratios that these do not read right, so you have sales or marketing expense coming in, but you may have achieved not only in terms of ARR performance between the quarters. So I prefer to look at it on an -- from an annual perspective. As we think about 2022, we would say that there are certainly investments we will continue to make to support this initiative as we penetrate the enterprise segment of the market, as well as the things that we are doing, and Alessio can speak to it, around making sure that the 2800 book of business that we have, the customers that we have, we have the right strategy and the right team in place from an account management and customer success perspective. Alessio, I'll leave it to you to kind of expand a bit more on that.
Alessio Artuffo: The strategy around extracting the maximum amount of value from the customer base along with staying with high levels of performance of customers' happiness is core for our growth strategy. We've said it multiple times. Happy customers renew, happy customers grow with us. We have made investments to ensure a good level, a really good mature level of relationship and ratio between our customers and our account management organization. And, this is going to bear fruit in the future because as we get a better picture of our customers' needs, we're also going to see a return in the level of penetration of these customers, not only from an upsell standpoint, but also from a cross sell standpoint. So, in summary, better ratios means better presence means better intimacy, and better unit economics in the future.
Robert Young: Thanks for taking the question.
Operator: Thank you. Your next question comes from Daniel Chan with TD Securities. Please go ahead.
Daniel Chan: Oh hi, good morning. I'd like to discuss your geographic expansion plans. You acquired skills life to sell your APAC presence. Can you talk about your organic expansion plans internationally and what role partners play in this? I think some of your partners are also focused on expanding geographically, thanks.
Claudio Erba: Yes, Daniel, this is Claudio. First of all, our first market is North America and then Europe and Australia, and New Zealand. Those are the core markets we are investing in for several reasons, especially because we can leverage our marketing and our sales machine in countries that have the culture to bring that is similar to our cultural footprint that we can use in North America and in Europe. And let's say that Germany also geopolitically is stepping in with a lot of additional investment in almost everything in this geopolitical rebalance and this is -- and you know that we have opened an office in Germany six months ago, and Nordics are interesting markets. You're right. Other markets especially in Asia Pacific are covered by partners and resellers. But I want to stress that most of our revenues comes from Western countries and Australia, New Zealand, and this is where we are investing in especially in direct sales. Alessio, do you want to add something on that?
Alessio Artuffo: Sure. In addition to that, we believe the latest acquisition of Skillslive gives us acceleration. We've learned a lot out of spinning up offices, originally, initially in the UK, after of course, our North American presence, and then Germany. And then even before then, during the forMetris acquisition, which also gave us the opportunity to establish physical presence in France. We've learned that organic building of a net new office takes time, hiring leadership, on boarding them, ramping them up, having them understand our product, culture, and everything takes time. The Skillslive team was just a tremendous opportunity of, A, phenomenal people; B, great learning and development professionals with an incredible network in the region; and C, like I said before, gave us access to already on board the people that already had a network, and relationships. So in just a matter of a couple of months, we have them already operating in ourselves in our [indiscernible], that are already reporting on pipelines, that are already developing business. We have a sales leader in place. This would have taken years. And on the support and implementation flip side, it gives us the ability to spin up quickly, a 24/7 coverage that remains a critical objective for our goals of global expansion and supporting enterprise clientele that frankly, expect 24/7 support as part of our capabilities, and we're now in a position to offer that.
Daniel Chan: Thanks, that's very helpful. I wanted to change gears a little bit. Throughout the pandemic, you provided some metrics that showed customer engagement was elevated. Just wonder if you can give us an update on some of those metrics, have customer engagement with the platform remained at that level even as things start to normalize? Thank you.
Claudio Erba: Claudio speaking. I am not sure we can share this data on the number basis, because was not, we shared it anecdotally during the pandemic, I'm not sure if we shared with the specific numbers. That said, the usage of the system is becoming more sophisticated, because our user now is used to use the learning more than pre-pandemic level, more use cases, more ways to learn, more synchronization in the data exchange with other systems. So it's not only a matter on how many users are logged in the system, but the way they use. For example, they use a Java learning impact system to assess not only the usage, but the quality impact of learning is an example on how we measure the adoption of the learning not only from the quantity perspective, but also the quality of the training that our customer delivers. That said, we can provide post call some of the data if necessary.
Daniel Chan: Thanks, that's helpful.
Operator: Thank you. Your next question comes from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse: Yes, thank you. As you guys make incremental gains into the enterprise, does it change how you operationally organize the business when it comes to functions like R&D and sales and marketing?
Claudio Erba: Yes, Claudio speaking. 100%, I mean the more we create new products, the more we approach different markets and different industries with different needs require a transformation, a continuous transformation inside the organization. And when I say continuous transformation, Alessio is working hard on the sales and marketing team on better covering vertical use cases and vertical industries and vertical products, because you can imagine, and this is something we are also learning on our own, that selling learning analytics products require different skills that selling learning management system. On the product side, the same. We require different leaders in terms of different skills, different product line manager for different products, because they require different expertise. And in the same time, you need to imagine that those two main cluster in the organization mean silos, save the marketing and product require communication channels between them in order to work better together, catch market needs, and be synchronized in the line on what to prioritize, and what not to prioritize. So absolutely, yes. And I think that once we have reshaped and build the organization to cover the multi-products, multi-industry needs, we will reshape again the organization because there will be another layer of complexity. Alessio well if you want to add something.
Alessio Artuffo: Yes, Claudio, just in addition to that, the question from Richard was about sales and marketing and R&D. I would add to that, Richard, also our general posture with regards to support and implementation, which are just part of the overall supply chain. There's certainly an adjustment in methodology of selling. There's specific investments and techniques in marketing, say ABM as a reference, but then when it comes to implementing the customer, you have to have methodologies that are adapt to implementing large order [ph] which may have a different phased approach than you would do on a more turnkey and if you will accelerated small customer. We understand that and we have to develop playbooks to satisfy that. In addition, an enterprise organization you know, a Fortune 1000 level of support expectation is just different from a smaller sized one. We all understand that. What we're doing there to support this trend is also creating best in class support services as incremental value to our professional services that will allow us to also improve our unit economics with these customers, similar to the best in class companies like Salesforce. We're designing dedicated elite support services, which not only provide 24/7, but go to a deeper level of support to customers. We certainly expect this service to be a paid service in the future and we're working hard to staff for that and the work is well in progress.
Richard Tse: Okay, great. And so, my second question, maybe it's a bit related that you guys are obviously offering, or adding a lot of new logos here. Can you maybe talk about the source of these new wins? Are they -- traditionally you've been extremely effective with your web campaigns, but as you get bigger enterprise customers, how are these logos finding you in terms of generating these wins?
Alessio Artuffo: It is, it is a mix. Our strategy, we look really quarterly at the balance of our channels of sourcing, and those vary frankly across the various segments and the strategy of demand and the lead generation varies depending on the markets, on the GUs [ph] on the commercial segments. However, you can -- we can oversimplify it by saying that a significant portion of our traffic remains inbound, which is what you're referring to. But we're boosting significantly our outbound efforts. That means we're growing our outbound capabilities, and integrating those capabilities with more account based marketing logics. Those are more fruitful and calibrated to target accounts, specifically in the enterprise segment. Channel is another great contributor of pipeline, of sourcing. As we continue to work with organizations to grow our OEM book of business, we also have a rather large referral and bar program and that allows us to become very granular geographically, even where our brands may not be as strong in regions where we are not physically present, to gain market advantage and position our brand. And finally, there are certain alliances. We announced Pavilion for quarter four, that are extremely strategic in certain markets. I mean, Pavilion is a phenomenal organization that has established itself as the point of reference for every revenue growth professional in North America, and possibly really worldwide. So it is no secret that we were very interested in that partnership, because the large majority of the thousands of members are buyer personas for us. And so you can see how the mix of sourcing is very varied. Our marketing strategy is pretty complex and articulate, and it ranges across all market sizes.
Claudio Erba: Alessio, I will add another point here. Docebo, during these last two years, had been recognized more and more as best of breed in the industry. So I'm not saying that we recognize that there is leader in something that makes our Skillslive life easy. I can imagine his face now when I say, when I say it is botched up [ph]. Large enterprises are usually buying the best of breed. I mean, the most recognized vendor, and actually we are competing with what were recognized in the past as best of breed. And paradoxically, in the past six months, we have been reached by big vendors in other spaces asking for integrations with us, based on the fact that many of our customers, they say are your customers as well and we need deep integration. These are happening with more and more and more and more over the past six months. And these are good signals which are also proven by the fact that our enterprise segment is growing faster than others.
Richard Tse: That's great. Thank you very much, guys.
Operator: Thank you. Your next question comes from Christian Sgro with Eight Capital. Please go ahead.
Christian Sgro: Hi, good morning, everyone. The first question today I wanted to ask, when you think about, let's say a typical ideal enterprise win 100k or larger an ACV, what's the best type of win are you guys like that sets you up for land and expand? Is that just one department at the beginning? Or is that just the core Learn LMS? Like, what's the best way to get in out the gates for to set you guys up for expanding?
Alessio Artuffo: Christian, thank you for the question. There are a couple of answers to your question. So when we enter an enterprise customer, where we believe we have a unique proposition, and where our product wins, at a very high win rate is when the organization wants to implement what we call an hybrid use case or blended use case strategy where the goal is to consolidate efforts or platforms and technologies that may already exist or don't exist yet, to satisfy both internal and external use cases. The capability of giving both capabilities in one platform, the data shows that we are incredibly strong at that. So when we enter a customer, our goal is to understand what the state of their technology is from a learning delivery standpoint. And understand if there is a possibility to at times zero, approach both use cases or two approach one, by positioning ready from day one our capabilities of satisfying to and that gives a great level of comfort to buyers, knowing that they can grow with us. The second answer is an organization and this is more recent, and that's what we're working on, the ability to position our products, new products from the get go. They may not be ready to adopt more sophisticated views of the learning programs that, for example, impact an analytics offer. But knowing that we can grow with them in that direction is -- it just gives them the comfort that we are the provider of choice for the long run. Finally, I will add, we're seeing recently that to add on products, like Docebo Connect, and Docebo Content give us the opportunity to tell a story of integration that other competitors don't tell in the same way. Docebo Content gives you the opportunity to not have to establish another contract with another content vendor and have a single relationship with Docebo. Docebo Connect gives you the opportunity to know that when you buy Docebo you can grow with it and integrate it with multiple systems without the hassle of custom integrations, expensive and mechanic SOWs. I hope that answers.
Christian Sgro: The answer is very helpful, Alessio. I'll ask just one more question this morning. And so we think of the OEM partner program, and maybe I'll ask about that channel, just any update from your end? It's something that I think you've tempered us all on, it's going to grow over time with a lot of see new partners this past year, but is there an update you'd give us on how some of the newer partners are trending? And thanks for taking my question.
Alessio Artuffo: OEM remains a growth vector for us. We've said this multiple times. We've doubled down our investments in building OEM and strategic alliances, and we're extremely confident that there will be a steady pipeline of partnership business in the future. One thing that we've learned in the past 12 months in particular, is not very surprising, is that very small organizations can be very excited at first to integrate new capabilities and new skills. It becomes harder for these smaller organizations to bring it to market because they have to juggle many priorities at once. So our strategy with our bigger OEM team is to focus on more mature organizations that have either already OEM before or have the resources to get going and execute on a joint market plan with us. With that said, Ceridian and MHR, not only continue to deliver incredible performance, but we are confident that we're going to be able to grow that performance in the future by giving them access to capabilities that in the meantime we have developed, that's one. Two and final, we have a lot of exciting leads in the OEM sector. They are more aligned with our ideal OEM profile and I believe that we will be able to report to you, once material and results come to Docebo, more information OEM in the future.
Christian Sgro: Perfect, that's all very helpful Alessio, thanks for your time.
Alessio Artuffo: Thank you.
Operator: Thank you. Your next question comes from Paul Steep with Scotia Capital. Please go ahead.
Paul Steep: Yes, good morning. I'll be quick here. Just on staff growth, Sukaran, you talked about growing staff, can you maybe just give us a little bit of thoughts around the balance between wage inflation as well as maybe the pace of hiring? We've seen strong hiring performed by the company over the last couple of years, and then I've got one quick follow up.
Sukaran Mehta: Yes, good morning, Paul. I would say that there's no secret out there any wage inflation and this is probably one of the most competitive labour markets out there. And as every other tech company, we're facing the same here. I would say that in terms of adding folks into the organization, we'll continue to invest, as we spoke about earlier in the sales and marketing engine to support the enterprise account management space. As we expanded the enterprise segment, we have doubled down as Alessio talked about in the OEM side of business, but then if you think through the support segment of the organization, whether it's professional services, customer support, we need to continue to stop that as we grow the business. So, we'll continue to add, maintaining, I would say, maintaining the kind of the ratios that I have kind of spoken to in my prepared remarks. And all that said, as much as this is comparative landscape from a talent perspective, it also gives a tailwind from customer perspective, where it is the LMS being one of the best tools to engage your employees, retain your employees, and continue to use our platform to make sure that they can manage attrition in this market. So, challenges from a labour perspective that we manage, but also, we have some momentum as a result of what's going on in the labour market right now.
Paul Steep: Yes, sorry. I’ll try it a different way and I’ll skip the other follow up. Should we think ARR, growth in employees was below in sort of 2020 ARR year-on-year growth? If we look to 2021 we saw you slightly over index on employee growth versus ARR growth. Should we think of 2021 more as a catch-up year in terms of big investment? You’re going to sustain that growth, but it's not going to maybe match ARR growth going forward? That was a better way to maybe phrase it.
Sukaran Mehta: Yes, that's a good point. So, I would say you're right. So, in 2020 we did pause as COVID started and then there was a catch-up perhaps probably the word you use is what we started in terms of hiring in late 2020 early 2021, as we think about 2022 it shouldn't be at the same levels, but I would say there is certainly a maturity in level hiring that we're doing in terms of stopping at the right levels, whether it's VPs and SVPs at the sales, marketing, R&D organization where we'll need to make sure that the company is structured in the right fashion to move forward and continue to grow for the next leg of our journey. So, to answer your question specifically, yes, 2020-2021 was much higher growth hiring compared to what we'll see in the future.
Paul Steep: I'll push my luck with one last clarification, just on the older cohorts Sukaran, you now actually had the data to be able to capitalize the contract costs for sales over five years which we didn't have in the past. Can you just and I know we've got net expansion, but can you maybe just speak to the experience that you've seen in those early cohorts and how you're thinking about the long-term uptake in renewal and I'll leave it there? Thank you.
Sukaran Mehta: Paul, the question is about renewal rates? I just want to clarify the question.
Paul Steep: Yes, it's just the renewal on those early-early cohorts, because obviously you’ve got now got the data, before you weren't able to -- you just did it over the initial term of the contract for the sales, capitalized sales contracts and now you're saying it’s at least five years, and just going back to what have you seen in those cohorts in terms of renewals and how that sort of plays out as we look at the waterfall going forward?
Sukaran Mehta: Yes, I mean, I think we don't specifically break out renewals, but I'll give you some colour on it. We talked about net dollar retention ratio, but then it also gives you a flavour on renewals. Net dollar retention ratio is a number that obviously, includes expansion with churn and downgrade embedded in it. And so, as that has improved, which includes the cohort of customers historically as well as the ones we had come on board in 2021, you are seeing that book of business continue to expand, which effectively is telling you that the renewal or the churn rate in the business is continuously improving. It's below industry standards. I mean, that probably gives you enough colour, but we don't specifically break out renewal rates.
Paul Steep: No problem. Thank you.
Operator: Thank you. Your next question comes from Suthan Sukumar with Stifel. Please go ahead.
Suthan Sukumar: Good morning, gents. A couple of questions from me. First, I just want to kind of touch on the pipeline and some of the momentum that you're seeing in the enterprise segment. Has there been any change in the type of profile or the prospects that you are seeing now and what they're looking for? I think you guys in the opening remarks, I think you talked about seeing more complex requirements come in. So, just kind of curious on what you're seeing with respect to how demand is evolving here for you guys.
Alessio Artuffo: The first...
Claudio Erba: Okay, take it Alessio, take it, take it.
Alessio Artuffo: Suthan, hello. With regards to pipeline, of course we don’t provide financial guidance at this time, but I am happy to share a few thoughts with regards to forward looking pipeline at a high level. In terms of the momentum and demand, we remain extremely confident in our ability to deliver in the future. We continue to see demand being strong and meeting our expectations. In terms of complexity or if you will, type of customer that we’re dealing with, in your reference to our messaging of more complex use cases, it is very consistent with what I was sharing before in my explanation of multi-use cases. What we’re seeing, particularly in the enterprise segment, is that organisations are in need of consolidating their learning strategy and in some instances, reducing the amount of vendors they work with towards a more holistic solution that is capable of addressing both internal and external needs. When this happens, we are uniquely positioned because our product is so modular and so designed to meet this multi-use case capability, and we find that our win rates in that scenario are incredibly positive, well above any industry standards. With regards to complexity and changes in the makeup or constitution of the pipeline, nothing really specific to signal, other than, and this is the result, and it's managed consequence of our focus on enterprise segment. Our commercial segment remains strong. Our mid-market segment faces pressure from the commoditized point solutions that are in the market. Our enterprise segment grows wonderfully and we are well positioned to win the business there, and I believe we're leading right now, and probably seen as the strongest vendor in that very market for the needs of external and internal training combined.
Claudio Erba: Yes, and Alessio, this is a kind of self-fulfilling prophecy. I mean, it's not that our customers, the more we go to market the more the use case is complex, but the customers are choosing us because we are capable to support very complex use cases. It's a little bit of the opposite.
Suthan Sukumar: Okay, great. Now, thanks guys, that's helpful. The last question from me quickly is, just kind of curious how, really on the expansion opportunity with the new product suite, can you talk about, I mean, it's clear that this is helping influence demand and you're seeing that there is good uptake from your new customers, but and I know it's early days, but can you speak about what the traction has been like with the expansion opportunity within your existing base from the new products suite? Just curious what the attached rates have looked like with your existing customers.
Alessio Artuffo: Sure. Suthan, as you know, we don't disclose attach rates. However, I can give you a general sense of where we are satisfied, where we are ecstatic, and where we feel like we have more work to do. And those really reflect then have an impact on the attach rate itself that you were asking about. We're satisfied with most of the products that we have released, and by satisfied, I mean we had an hypothesis and that hypothesis is holding true. We're ecstatic with regards to capabilities and add on products, established ones like the extended enterprises suite of use case coverage that's doing wonders for our company and you should expect our intent to bolster that even further. Additionally, we believe that the maturity of our product, called Docebo Content, is giving us incredibly good metrics from an attach rate standpoint, along with early days and early signals, Docebo Connect, as I mentioned before, we're extremely satisfied for what we're seeing. But gosh, we only have one quarter of data in our history data and you understand how little that is. We have more work to do on our learning analytics product. That doesn't mean that things are not going well, but this is a more complex solution. It has been in the market for circa only six months, and but we're very focused on the product market fit and on involving the roadmap and learning what we hear from the customers and adapting it. We believe that once we do that, our attachment rate, even on that product will continue to grow exponentially.
Claudio Erba: Yes and basically, you have to remember that Docebo Content share over the name of the Discover Content share took two years to ramp after we launched in 2016. So, launching new products is a journey, is a learning journey, fine tuning the offering, fine tuning the position. It's an art and it's not something you can get in like two quarters.
Suthan Sukumar: Got you. Great guys, thank you for the color here and congrats again on another solid quarter and best of luck.
Claudio Erba: Thank you.
Operator: Thank you. Your next question comes from Gavin Fairweather with Cormark Securities. Please go ahead.
Gavin Fairweather: Oh, hey. Good morning. I just wanted to chat for a second on net dollar retention rate. We saw a nice five-point acceleration in 2021 to 113%. Given your enhanced focus on customer success and enterprise customers, curious if you see some nice headroom to accelerate that further in the years ahead?
Claudio Erba: One sec, once sec Alessio. Gavin, you are never happy. I mean we have grown this for three years in a row, and thanks Gavin to push us over the limit. I’m kidding.
Sukaran Mehta: Yes, Gavin that’s just on the net dollar I'll comment first. So I think if you think about 2021, net dollar retention rate is, we talked about in the past, primarily it's being driven through the land and expand Learn LMS being the engine that continues to grow the business and we expand our book of business with whether it's increasing monthly active users, whether it’s landing at times subdivisions of other companies, et cetera, today the new products and modules that we launched in 2021 that were more towards the latter part of the year are not meaningfully contributing to that number. So, to your point as we move into this posture of helping our customers through Docebo Learning Suite and helping their learning needs with the new products and modules over time, including 2022, we would expect NDRR to -- our expectation is NDRR should move up as we do both, not only land and expand and help sell to other subsidiaries the companies as well as the new products and modules adding to that expansion story.
Gavin Fairweather: Thank you and just to clarify, I am very happy, Claudio.
Claudio Erba: Thank you.
Gavin Fairweather: Can you just, maybe just secondly, there seems to be more buzz about software user training and embedding training for users’ insights offer. Can you just maybe speak specifically around Docebo Flow and how you view your competitive positioning as this trend starts to take off? And that's it from me. Thank you.
Claudio Erba: So philosophically speaking, I see learning technologies as building blocks that can be, I’m using old school words installed, implemented, deployed inside every single software. I mean, training is everywhere. Training has been in your partner portal, training happened in your customer academy, training happens because company wants to train students to nurture their future employees’ pipeline and so on and so on. And there are many ways to do this. We are now implementing in three main ways. One is the LMS, eccentric platform where people can login and learn. Second is OEM, where portion pages of LMS is embedded inside another software, but it’s still an independent page, an independent function, an independent feature. The third part is Docebo Flow, which is building block that can be installed inside other functions or pages or apps. That said, our comfort zone is the LMS plus OEM where technology has been proven to be successful and scalable. Docebo Flow is a new product and we are learning how to implement, how to deploy it, and so on and so on. Docebo Flow is not a substitution of LMS, but is another option on how to consume and digest content, which is an alternative of entering inside LMS or learning inside the web page.
Operator: Thank you. Due to time constraints, we are taking the last question from Martin Toner with ATB Capital Markets. Please go ahead.
Martin Toner: Thanks very much gentlemen and congrats on another good quarter. Is the comments around free cash flow EBITDA positive by end of year? Is that indicator of philosophical change?
Sukaran Mehta: Martin, good morning. I'll take that first, Claudio. I think there’s no philosophical change. The way you want to think about it is that the business is naturally, and as we positioned previously is that its naturally transitioning through the revenue growth that we have and the operating leverage we're seeing within G&A and other areas specifically that I talked about will just get us to a point where as we exit 2022, we will transition into free cash EBITDA positive, so no change in philosophy, more just business driving it to that point.
Martin Toner: Excellent, thank you very much. And I was hoping Claudio might be willing to expand on the comments that new product launches is an art. I'm just wondering what you mean by that?
Claudio Erba: I mean that when you have an idea and you build one product, you can do all the market validation you want, but the product you will launch and the organization that support these products will not be over the two years, the same that you have thought in the day you have launched the product. I mean, launching products requires fine tuning from a product perspective, from a pricing perspective, from a sales model perspective, until you don’t find something that is way better than the idea you have had in day one. And this is what we have done with Docebo Discover, Coach and Share. We have launched prices in a way then we changed a little bit, then at the end of the day we have bundled completely inside Docebo LMS.
Martin Toner: Thanks a lot, Claudio.
Operator: Thank you. There are no further questions at this time. Mr. Erba, you may proceed.
Claudio Erba: Yes. Thank you, everyone, for staying with us again in this quarter. This is our probably ninth or eight earnings call. Thank you for staying with us. Stay safe. Speak in May. Bye.
Operator: Ladies and gentlemen this concludes your conf call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.